Operator: Ladies and gentlemen, thank you for standing by and welcome to the NuStar Energy L.P. Fourth Quarter 2019 Earnings Conference Call. At this time, all participant lines are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today’s conference is being recorded. [Operator Instructions] I would now like to hand the conference over to your speaker today, Pam Schmidt, Vice President of Investor Relations. Thank you. Please go ahead, madam.
Pam Schmidt: Good morning and welcome to today’s call. On the call today are Brad Barron, NuStar Energy L.P.’s President and CEO; and Tom Shoaf, Executive Vice President and CFO, along with other members of our management team. Before we get started, we would like to remind you that during the course of this call, NuStar management will make statements about our current views concerning the future performance of NuStar that are forward-looking statements. These statements are subject to the various risks, uncertainties and assumptions described in our filings with the Securities and Exchange Commission. Actual results may differ materially from those described in the forward-looking statements. Also throughout the call today, when Brad and Tom talk about our quarterly and full year results, they will be describing our results from continuing operations. In other words, the results we will refer to in this call exclude the European assets we divested in 2018 and the St. Eustatius facility we sold last July. During the course of this call, we will also refer to certain non-GAAP financial measures. These non-GAAP financial measures should not be considered as alternatives to GAAP measures. Reconciliations of certain of these non-GAAP measures to U.S. GAAP may be found in our earnings press release with additional reconciliations located on the financials page of the Investors section of our website at nustarenergy.com. With that, I will turn the call over to Brad.
Brad Barron: Good morning. Thank you all for joining us today. 2019 was, by all measures, a great year for Nustar, as we generated strong results across the company. Those results didn't just happen. When we developed our financial, operational and capital project goals for 2019, we constructed a road map to our targets and a plan to reach our goals. Our results across the board demonstrate how well our employees executed on the 2019 plan; step-by-step, day-by-day, throughout the year. And thanks to all that hard work and careful execution, we have delivered results through strong or stronger than the guidance we gave you last year. Last year, we told you we expected to generate EBITDA for 2019 in the range of $625 million to $675 million. In fact, we generated $668 million of EBITDA in 2019. That's at the high end of our guidance and 12% higher than our 2018 EBITDA. Last year, we also told you we would achieve 1.2 times to 1.3 times coverage. We actually achieved 1.33 times distribution coverage for 2019, better than we initially projected and even better than 2018's 1.22 times. Last year, we also said we expected to finish 2019 with a debt-to-EBITDA ratio of 4.3 times. Thanks, in large part, to our successful divestiture of the Caribbean terminal facility for net proceeds of $230 million in July, we finished 2019 with a debt-to-EBITDA ratio of 3.88 times. That's a significant improvement over what we expected at the beginning of 2019, prior to the sale. Our strong financial showing in 2019 is a direct result of our strong operations across our asset footprint. In 2019, our pipeline throughput volumes grew by an impressive 23% to an average of 1.8 million barrels per day. In aggregate, we transported a record 641 million barrels in 2019. In the Permian, we told you we would reach 450,000 barrels per day in 2019, we exited the year at over 460,000 barrels per day. We're proud of the outstanding performance of our core system. Although rig counts across the Permian Basin as a whole were down 17% during the year, the rig count on our acreage was up 7%. While Permian Basin's total throughput grew 18% in 2019, our system grew nearly twice as much or 34% during the year. We're also off to a great start of 2020. With over 30% of the rigs in the Midland Basin residing on our Permian system, our throughput averaged 475,000 barrels per day in January and February nominations continue to increase and have come in well ahead of our forecast. But our Permian Crude System is not the only part of our asset footprint that performed well during 2019. We also had a record-breaking 2019 across our Central East Refined Product System where we hit record numbers in December for butane blending, propane transportation, and refined products movements. Our stores throughput volumes grew an impressive 36% in 2019. We also saw solid contributions from our facility in St. James. We told you we expected activity at our unit train facility to ramp up from 20,000 barrels per day to 30,000 barrels per day by the end of 2019. By year-end, our unit train activity exceeded that target where we saw 43,000 barrels per day for the month of December. We expect even higher numbers throughout 2020. We told you last January we will complete our project to provide a last mile export solution from a connection to Cactus II to our state-of-the-art Corpus Christi export facility. We successfully put that project into interim service last summer and into full-service on September 4th. And by the end of 2019, we have more than doubled the volumes we handled at our Corpus Christi facility averaging 613,000 barrels per day of volumes on the system in December with over 70% going to the dock and the remaining 30% moving back into the Corpus Christi refining complex. Even only a partial year benefit from our Corpus Christi project during 2019, we handled a record number of barrels, a total of almost 150 million barrels at our Corpus Christi export facility which includes 92 million barrels moved out across our docks. Our Corpus Christi project for Trafigura, which is one of an impressive list of important projects that NSTAR set out to get done and that we successfully completed in 2019. Last year, our employees were tasked with the most ambitious capital project program in our company's history. Looking back over what our teams accomplished, in 2019, it turned out to be an incredibly productive year for Nustar. Let me run through a couple of those things. In March, after completing in connection to our St. James facility, we began receiving Bakken and Permian crude barrels from Bayou Bridge. In the second quarter, we completed two strategic low capital expansions of our Wichita Falls crude pipeline; one to transport Permian barrels to local refiners and Sunrise Pipeline expansion; and another expansion project into Hewitt to deliver barrels to Plains for delivering to the Longview market. August was a big month for NuStar as well. We completed our project to connect our 16-inch South Texas Crude Pipeline the Cactus II in mid-August, we received the first shipment of Permian Crude from Cactus II, the first of three long-haul pipeline project to transport WTI from the Permian Basin to Corpus Christi. As some of you will remember, September 4th was truly a banner day for NuStar. We brought three of our key 2019 pipeline projects into service in a single day. The second stage of our Corpus Christi WTI export project that I mentioned which is a new eight-mile 30-inch pipeline from Taft to our Corpus Christi facility our project to double the capacity of our Valley pipeline to expand the supply of refined products from Corpus Christi to the Rio Grand Valley in Northern Mexico. In Phase I of our projects transport diesel from the Corpus Christi refining complex to our new Nuevo Laredo terminal. In the Permian, our projects team completed projects throughout 2019, gathering projects, capacity expansion and debottlenecking, as well as connections to third-party outlet. And across our West Coast terminals, our teams executed on projects to develop the renewable fuels, logistics network necessary for regional markets to achieve low carbon fuel targets. That's an impressive list. It is important to what we got done is how well we did it. Back in January 2019, we told you we expected to spend between $500 million and $550 million on our capital project plan. We not only completed all those projects on time. We completed them under budget. In total, we spent $467 million of strategic projects, which is 11% below the midpoint of the CapEx guidance range we announced at the beginning of 2019. It was a big year by all measures, which makes me even more proud that our employees did all this all those barrels transported and stored. All those projects executed across our footprint and throughout this year they did it safely. Once again in 2019, NuStar safety performance outpaced the industry. Our DART rate which is Days Away/Restricted or Transfer Rate, we call it lost time for 2019 was 22 times better than the terminal industry average and two times better than the pipeline industry average. We also completed the year with a total recordable incident rate or TRIR it was 21.5 times better than the terminal industry average and almost five times better than the pipeline industry average. Our strong 2019 results from our stellar safety statistics to our operational outperformance to our solid project execution illustrate our employees are capable hardworking and committed. Committed to protecting one another's safety, as well as our community, the environment, our customers' assets and our unitholders' interest. With that, I'll turn it over to Tom to give you some more specifics on our strong fourth quarter and full year 2019 results and our 2020…
Tom Shoaf: Thanks, Brad, and good morning, everyone. For the fourth quarter of 2019, we generated EBITDA from continuing operations of $196 million, up $42 million or 27% over fourth quarter 2018 EBITDA from continuing operations of $154 million. For the full year 2019, we generated EBITDA from continuing operations of $666 million, which was at the high end of our guidance range and up $71 million or 12% over 2018 EBITDA from continuing operations of $597 million. Fourth quarter 2019 DCF from continuing operations available to the common limited partners was $107 million, up $23 million or 28% compared to the DCF from continuing operations available to common limited partners of $84 million for the fourth quarter of 2018. And our distribution coverage ratio from continuing operations to the common limited partners was 1.64 times. Full year 2019 DCF from continuing operations available to common limited partners was $345 million, up $41 million or 14% compared to 2018 DCF from continuing operations available to common limited partners of $304 million and our 2019 distribution coverage ratio from continuing operations to the common limited partners was 1.33 times, up from 1.22 times last year. Fourth quarter 2019 EBITDA in our pipeline segment was $142 million, up $27 million or 24% from the fourth quarter of 2018 due to continued throughput volume ramp on our Permian Crude System and full year's quarter contribution from the completion of our Taft 30-inch pipeline in our Corpus Christi Crude System and our Valley pipeline expansion. Additionally, we continue to experience increased crude volumes on our Ardmore system, resulting from our connection to the Sunrise Pipeline at Wichita Falls. Our fourth quarter 2019 EBITDA from our storage segment was $71 million -- I'm sorry, was $71 million, up $13 million or 22% from the fourth quarter of 2018 EBITDA of $58 million. Mostly as a result of the full quarter's contribution from the completion of our Taft 30-inch pipeline, which flows into North Beach terminal within our Corpus Christi Crude System. Fourth quarter 2019 EBITDA in our fuels marketing segment was $11 million, $3 million higher than our fourth quarter 2018 EBITDA of $8 million, due to stronger performance from our butane blending business and healthy margins from our bunkering operations. Our December 31 debt balance was $3.4 billion and our debt-to-EBITDA ratio was 3.88 times, below our debt to EBITDA ratio of 4.05 times for the fourth quarter of 2018, which puts NuStar under 4 times for the third consecutive quarter. Turning to our full year 2020 projections. We continue to expect NuStar's 2020 EBITDA to be $715 million to $765 million, an increase of about 11% at the midpoint over 2019 results from continuing operations and about 24% higher than the midpoint since 2018. With regard to 2020 capital spending estimates, we still plan to spend $300 million to $350 million on strategic and other capital, a 30% reduction year-over-year. In addition, we continue to expect about $40 million to $50 million of reliability capital spending in 2020. Based on these projections, we still expect our common unit distribution coverage ratio for 2020 to be in the range of 1.4 times to 1.6 times and we will continue to focus on delevering our balance sheet as one of our top priorities. And with that, I'll turn the call back over to Brad for his closing remarks.
Brad Barron: Thanks, Tom. For 2019 now behind us, in 2020 we are focused. We're focused on our bottom line. Our employees continue to safeguard every dollar we spend in order to assure we fund 40% or more of our 2020 strategic capital from excess distributable cash flow and are positioned to increase that cash flow in 2021 and beyond. We are focused, focused on a smaller capital program that remains targeted at our sweet spots. We plan to spend significantly less in 2020, between $300 million and $350 million. But just like in 2019, we plan to spend those dollars on low multiple high-return projects that build upon our existing growth platforms in the Permian, Corpus Christi, St. James and on the West Coast. And to complete phase two of our Nuevo Laredo project later this quarter. We are focused, focused on staying flexible. We built flexibility in our plan for 2020. So as conditions require, we have the flexibility to scale down our capital program to evaluate sale less core asset packages and take whatever other measures we need to take to protect our strong coverage, while continuing to delever. And we're focused on continuing to operate safely, to protect our employees and our community every day every year. Just like last year, we have a plan to build unitholder value and improve our metrics in 2020. Just like last year, we have all the resources we need to execute. 2019 was a great year. But even so, looking out to 2020 and beyond, I'm confident when I tell you, the best is yet to come. With that, we'll open it up for Q&A.
Operator: Thank you. [Operator Instructions] And our first question comes from Shneur Gershuni from UBS. Your line is now open.
Shneur Gershuni: Hi, good morning everyone.
Brad Barron: Good morning.
Shneur Gershuni: I kind of wanted to start off with the sensitivities around your guidance. So, I was kind of listening to your prepared remarks you pretty much talked about a bunch of records that you have made in had a lot of optimism there and so forth. Can you give us what the sensitivities are around you hitting the high end of your guidance range for this year? Do you have to exceed a $5.5 exit rate in the Permian just any color that you can give us in how you end up at the high end versus the low end of the range.
Danny Oliver: Yes, Shneur, this is Danny Oliver. I think the key components there would be yes hitting the 550 in -- out of the Permian. We do think that's a conservative view at this point especially given the way we started off the beginning of the year. Also continuing to see volumes above our MVCs at out of the South Texas Crude System which we're currently operating 60,000 or so barrels a day above those MVCs and we have much less than what we're seeing today forecasted. So, continuing on our current trend would be upside there. Really when I look at -- and then also in St. James, we talked a little bit about the crude unit trains coming in. We have our MVCs forecasted throughout the year and think there's a likely possibility that we do better than that. Those are the three probably biggest upsides. And then really I think on the downside unless we have some kind of unexpected refinery turnaround, we don't see a lot out there that can hurt us.
Shneur Gershuni: Okay. That makes perfect then. Maybe to ask a CapEx question. Brad you noticed that you did that CapEx is down I think somewhere in the neighborhood of 30% this year. I was just wondering if you can give us a little bit of color about -- around the types of returns. I imagine smaller brown for capital tends to have higher returns. Do you think you can achieve a sub-four times EBITDA multiple on those types of projects? And also you came in ahead of budget on some of the projects you did in 2019. Everyone's talking CapEx down for 2020. Is the pool of available labor more fluid right now? Could we actually see that type of thing continue just because there's more capacity in the labor market and in the contracting market?
Brad Barron: I think that's absolutely right. We've seen that sort of across the across the country really. Yes. So, remind me the beginning of your question.
Danny Oliver: Multiples -- can get multiple times.
Brad Barron: Yes. So, I mean some of our projects will definitely be below four times. I mean as you mentioned the smaller projects tend to have higher multiples and we're always on the lookout for those two or three times multiple projects. But I would say historically we're looking for what we have been looking for higher multiple projects. We've been trimming or moving that number down just out of necessity and so we're high-grading our projects really across the Board. Also remember that since we fund about 40% of our CapEx program with what we call it free DCF. That really helps us out in a way that. You can fund these projects with these low multiples with 100% debt and still be accretive on your delevering program. So, on an average it might be a little higher than the four times. But these projects that we all have slated they're all these brownfield bolt-on projects to our current system and we expect those to be very low multiples.
Shneur Gershuni: Tom, just to clarify but you're saying you could theoretically fund 100% with leverage, but you are actually doing it with retained distributable cash flow for at least 40%?
Tom Shoaf: Well, that's what I'm saying. 40% is coming from retained cash flows. The remainder would be debt. And you can still do that and be accretive to your delevering.
Shneur Gershuni: Okay. And so just maybe I'm putting words in your guy’s mouth. But basically returns are going to be going up on the capital that you're spending and there's the potential that the CapEx cost can actually come in below budget just because of where things are in the labor market right now.
Brad Barron: I think the latter is true. As far as the return is getting higher, I mean we had some very high return projects in 2019 that were completed. So I think we're going to be following that pattern going into 2020.
Shneur Gershuni: Perfect. All right. Thank you very much guys. Really appreciate the color today.
Operator: Thank you. And our next question comes from Gabe Moreen from Mizuho. Your line is now open.
Gabe Moreen: Hi, good morning, everyone. Just had a couple of questions on the unit train activity down at St. James, I was wondering if you can just frame for us to what extent, you mentioned that activity you expect to increase in 2020. Are you able to converting in activity to longer-term contracts at this point? And also can you remind me how some of that may play into potentially expanding storage at St. James?
Danny Oliver: Yeah, Gabe. So we've mentioned I think earlier in 2019 that we have one of the major Canadian oil producers that we have a three-year contract with. So we have about 2.5 years left on that contract. We started off 20,000 barrels a day. We're currently -- the minimums are at 30,000 barrels a day. We're looking at increasing that. And there is actually some talk going on about extending that even beyond the initial three-year contract due to the nature of where some of these barrels are originating out of Western Canada. We haven't talked about adding new storage yet. We're going to be very careful with that. Unless we get a long-term commitment either driven by that or driven by cap line reversal, we're not considering that at the moment but volumes will help dictate that in the future.
Gabe Moreen: Thanks, Danny. I can also ask maybe about some of the upper Midwest propane expansions that you undertook. It seemed like the market in December, November was still fairly tight in those regions and there were a lot of media reports about difficulty of getting product into those markets. Are there other expansion opportunities that are either in your budget or you're considering for those assets? I know that's not the planned huge expansions but just curious?
Danny Oliver: Nothing currently on the drawing board. We are looking at it. But as Brad mentioned in his comments that was one of the reasons we had such a big fourth quarter in the Central East. But the CHS acquisition from a little over a year ago that was a big part of the beat that we had in the fourth quarter up there. We're getting everything out of that acquisition and the projects that followed that we had hoped for.
Gabe Moreen: Great. And then lastly for me, do you butane blending hedging at all? And does any of that kind of -- how much have you done for 2020 if you do some, if you do any?
Danny Oliver: So, well in a manner of speaking, it's all back to back. So when we buy butane, we sell the gasoline. So it's a no risk back-to-back transaction.
Gabe Moreen: Okay. And Danny can you talk about what margins you may have -- I know it's a back, back transaction but have you actually locked in and sold anything forward for 2020?
Danny Oliver: We -- a little bit, a little bit that we had blended in the fourth quarter and we rolled it into 2020 because the gasoline contango, as you go into the summer months. But typically most of the forwards that we do, as we bought butane in the summer time and store it, when it's cheapest and we'll sell gasoline in the fall during the blending season along with those purchases.
Gabe Moreen: Great. Thanks everyone.
Operator: [Operator Instructions] And our next question comes from Jeremy Tonet from JPMorgan. Your line is now open.
Joe Greff: Hi. This is Joe on for Jeremy. I wanted to ask first on how you see leverage progressing, including the press throughout 2020? And then maybe kind of what levels of leverage reduction you see by the end of the year and then also longer term?
Brad Barron: Yes. Well, as we've said, we made a lot of progress over the last couple of years delevering. And we've actually beaten our leverage guidance for the last year or so. We finished the year, as we said, at 3.88 times and that's three consecutive quarters under 4.0. Going forward, delevering will continue to be our main focus, as we said, and we'll spend capital wisely in 2020. Capital spend guidance is about 30% less than 2019. We have room for further capital cuts, if needed. And as I said, we're funding about 40% of our capital growth with excess DCF. So we'll continue to grow the EBITDA. We'll continue to use -- we'd take advantage of any upsides we have in our forecast. And we'll continue to evaluate also non-core asset sales, smaller stuff, as the year goes by. So that's kind of our plan for delevering in 2020.
Joe Greff: Okay. That's helpful. And then, I also wanted to talk a bit about the Corpus Christi export dynamics. Wanted to see how you see volumes at your facility trending throughout 2020. They've grown a bit. But there's also some growing competition in that area, while there's also growing crude volumes in the system. Anything you can say how volume should continue to progress there?
Danny Oliver: Yes, Joe, this is Danny Oliver, again. Brad mentioned some of the results we had in December. I can tell you that in January our volumes continue to grow. We did about 670,000 -- a little over 670,000 barrels through our Corpus system. Most of those barrels coming in there are committed to us, either Eagle Ford MVCs or commitments that we have off of Cactus and some other lines coming to us from the Permian. I will tell you that, what we have in our forecast in relation to those Permian barrels is our MVC levels. So we do think that there's some upside there. And we're really not concerned about losing any of those barrels to any kind of competition. They're kind of committed to us.
Joe Greff: That's helpful. Thank you. That’s all for me.
Operator: Thank you. And our next question comes from Ryan Levine from Citi. Your line is now open.
Ryan Levine: Good morning. Would you be able to provide some color as to what the drivers were for the 2019 CapEx being below guidance? And is it mostly labor? Or are there any other components that helped drive that?
Brad Barron: In general, we had projects coming in under budget. That's certainly, probably, some of that is labor, but it's really just a mix of a bunch of things.
Tom Shoaf: Yes. Some was labor, some were scope changes. So we reduced the scope of a couple of projects and that helped quite a bit.
Ryan Levine: Okay. And then in terms of the 60,000 barrels per day above MVC on your South Texas system. What -- can you kind of provide a little color as to what that number refers to? Is that an average that you're seeing over the most recent quarter? Or is that what you're anticipating in your 2020 guide? Any color would be helpful.
Tom Shoaf: Yes absolutely. So, on the South Texas Crude System, our MVCs are 160,000. We've been running 165,000, 170,000. And we have forecasted in the mid-130,000s throughout the year. And I don't see any reason from here I know it's just January or February but I don't see any reason we would see volumes going below of 150,000, 160,000 level going forward.
Ryan Levine: So, you're forecasting 130,000, but if I heard you correct you don't see it going below 150,000?
Tom Shoaf: Right. We're very conservative on the budget.
Ryan Levine: Okay. Thank you.
Operator: Thank you. And we have a follow-up question from Gabe Moreen from Mizuho. Your line is now open.
Gabe Moreen: Just want to follow-up for me. I know there's clearly a competitor that's some storage assets for pretty good multiple out there, recently it seems like your focus is still on delevering. But at the same time, it sounds like asset sales are only going to happen this year if needed. Can you just maybe talk about what your thoughts are following that transaction about seeing if what would value some of your storage might assets might turner? And how that might fit in the context of delevering further?
Brad Barron: I think we've already taken care of most of the low-hanging fruit we had on asset sales. We have identified some smaller one-off less core assets that we could do if needed to continue delevering or for whatever else we need. But multiple it's all about the multiple and price of what you can get for these assets. And we have seen multiples coming down over time on some of these asset sales that we've seen out there. A lot of that is driven by just people's ability to be able to buy those assets and finance them in the capital markets. So, we'll continue to look at things, but nothing is imminent at this point in terms of asset sales for us.
Gabe Moreen: Thanks Tom.
Operator: And thank you. And now I would like to turn the call back over to Pam Schmidt, Vice President of Investor Relations for further remarks.
Pam Schmidt: Thank you, Justin. We would once again like to thank everyone for joining us on the call today. If anyone has any additional questions, please feel free to contact NuStar Investor Relations. Thanks again and have a great day.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.